Operator: Greetings. Welcome to Shake Shack’s Second Quarter 2023 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to Michael Oriolo, Director of FP&A. Thank you. you may begin.
Michael Oriolo: Thank you and good morning, everyone. Joining me for Shake Shack's conference call is our CEO, Randy Garutti and CFO, Katie Fogertey. During today's call, we will discuss non-GAAP financial measures, which we believe can be useful in evaluating our performance. The presentation of this additional information should not be considered in isolation or as a substitute for results prepared in accordance with GAAP. Reconciliations to comparable GAAP measures are available in our earnings release and the financial details section of our Shareholder Letter. Some of today's statements may be forward-looking and actual results may differ materially due to a number of risks and uncertainties, including those discussed in our Annual Report on Form 10-K filed on February 23rd, 2023. Any forward-looking statements represent our views only as of today and we assume no obligation to update any forward-looking statements if our views change. by now, you should have access to our second quarter 2023 Shareholder Letter, which can be found at investor.shakeshack.com in the Quarterly Results section or as an exhibit to our 8-K for the quarter. As a reminder, during last year's second quarter, our Shack level operating profit saw a benefit of 40 basis points from one-time credits related to our 2022 leadership retreat. During today's call, we will discuss year-over-year Shack level operating profit and cost comparisons excluding these credits in order to provide a more like-for-like comparison. I will now turn the call over to Randy.
Randy Garutti: Thanks, Mike and good morning, everyone. Our team continued to execute our strategic plan through the second quarter and into July. We grew total revenue by 18% to $272 million with 3% growth in same-Shack sales, average weekly sales of 77,000 and trailing 12-month AUV across our Shacks at $3.9 million. We grew system-wide sales by 21% year-over-year to $426 million as we continue to accelerate the growth in our licensed business across new and existing markets. In the company-operated business, we opened 10 new Shacks with 23 currently under construction well on our way to opening about 40 new Shacks this year. In our licensed business, our partners opened 13 Shacks in the quarter. We target opening 35 Shacks this year representing 17% system-wide unit growth year-over-year. Since the quarter ended, we've seen an uptick in sales momentum with fiscal July same-Shack sales up 4.5% and strong performance around the company. As we strengthen the company for the future, our commitment is to being a profitable growth company. In the second quarter, our teams delivered 21% Shack-level operating profit, our highest level since 2019 and a 240-basis point gain over last year. We are disciplined. We are more efficient across our Shacks’ G&A and CapEx expenses. in our restaurants, we've identified numerous areas for improved process and cost reductions that we executed against in the quarter with the aim of growing profitability while delivering a great guest experience. We are still early days and seeing the full potential from this work, but with these strategies, we'll continue to improve how we run our Shacks all the while still improving upon our already strong returns and great guest experience. While our overall second quarter results were strong, our same-Shack sales slowed in May before rebounding through June and strengthening into July. Our highly successful white truffle LTO that contributed to our strong performance in the first quarter and April, sold out early. and we know that our best LTOs drive mix frequency and margin, and we saw a slight dip in those contributors in May and early June that impacted the quarter. In late June, we launched our Bourbon Bacon Burger, a well-liked LTO from last year, which is expected to sell out soon. And in late July, we pivoted to promoting our Avocado Bacon Burgers and chicken. We're looking ahead to September when our LTOs will focus on the return of a guest favorite hot chicken, as well as a new menu item, the spicy ShackMeister Burger, to bring the heat in the year-end. I'm particularly excited about our culinary lineup for next year as well, as we continue to evolve and improve the level of guest data and insights that we're weaving into our culinary story. Let me give a mid-year update now on how we're tracking against our 2023 strategic plan. Our first priority is on recruiting, rewarding and retaining a winning team. I'm proud to report that while staffing is always challenging in the restaurant business. our teams have done incredible work towards improving our retention and turnover. Year-to-date, we're experiencing the best turnover numbers we've seen in years. Our team members are earning competitive wages, they're staying longer and all of this is contributing to our operational execution and profitability in the Shacks. The near and long-term benefits and returns on this investment in people and retention cannot be overstated. Our people remain our priority and we're continuing to look at ways to improve their experience and opportunities for advancement in the Shacks. as just one data point in the last 24 months, with the introduction of our Shift Up Leadership curriculum, more than 180 Shack leaders across the country have taken the 18-week course and many have graduated from hourly supervisory roles into the next level of management, fueling their development and building a pipeline of leaders ready to take on the growth ahead. Our second priority is our relentless focus on the guest experience. We continue to execute a broad culinary strategy of improving our core menu while delivering exceptional LTOs that keep operations running smooth and efficient. In addition to the comments I made earlier, we also launched our Veggie Shack Burger and Non-dairy Shake, both of which have received a solid reception. We're featuring a great lineup of shakes this summer, as well as a caffeinated option for our lemonades. in some Shacks this quarter, you'll see us testing a new mini-shake size, as well as a small test bringing Sundays back to the menu as we look to broaden optionality and operational ease in our dessert category for the long term. we also continue to expand our Kiosks, which will be in nearly all Shacks by the end of the third quarter, a full quarter ahead of our expectations. We doubled our Kiosk sales year-over-year as guests return in Shack and choose this as their preferred experience. Kiosks enhanced guest convenience while driving a higher average check and in turn, profitability. While Kiosk is a key driver of the guest experience and our sales and profitability improvement strategy, we've only begun to explore the potential full capabilities of Kiosks, such as upselling and connecting personalized marketing across channels. One of our primary focuses of digital investment next year will be improving the Kiosk experience towards greater omnichannel adoption and long-term guest connection with our exciting culinary innovation, continued Kiosk rollout, menu strategy and digital tools, guest perception and value scores continue to improve. Our third priority is our targeted development strategy with a focus on drive-through and maximizing our total addressable market with great returns over the long-term. I've consistently said we are investing for learning early on. So, what have we learned so far? We've opened some amazing drive-throughs in the second quarter across the country, including Lancaster, Pennsylvania; Richmond, Virginia, as well as deepening our footprint in Texas in Sugar Land and McKinney, as well as Katie and San Marcos subsequent to the quarter. Each of these have started stronger than expectation and give us confidence in the ultimate potential for drive-through, where we've picked great real estate specific for drive-through. we are capable of driving strong AUVs and profitability. All told, of the 18 drive-throughs, we're operating today, we have some great Shacks performing above our long-term sales targets. we have some below our targets and we have a lot in the middle that we're learning from tweaking and improving all around, and we have confidence in where they're headed. In some cases, we've hit our cost to build metrics and in others, we've invested more than our targets, which has contributed to a higher cost to build overall this year. We remain encouraged by the drive-through opportunity and we're continuing to refine, take down cost to build and improve the model overall. We're expecting to open about 15 drive-throughs this year and a similar amount in the coming years. We're ensuring future sites take in a lot of the learnings that we've gotten thus far, and we’ll continue to improve each and every day. We are bringing down build costs and prototyping future Shacks with 2023 drive-through build costs already trending down about 10% year-over-year. we believe we can build a more standardized operation in a smaller footprint with less seats and a lower cost to build overall while still enhancing the great guest experience Shake Shack is known for. While this number may vary in the future due to geographic mix of openings, this gives us confidence we can bring down build costs over time. next year, we're particularly excited to have much more of the drive-through class in our strong coastal markets in Long Island, New Jersey and California, where we generally expect higher AUVs with higher brand awareness. We are continuing to focus on the guest experience and operational improvements specific to our drive-throughs and we look forward to material progress over time. on our licensed business, our team is hard at work with our partners to open new Shacks and expand our business across the globe. In fiscal April, we opened our first Shack in Thailand and in fiscal July, we opened our first Resort Shack with a bar in the Bahamas in the Atlantis Resort. Our strong performance in the second quarter was primarily driven by outperformance in our licensed business domestically, which is one of our largest markets. Our airports and [indiscernible] Shacks in New Jersey and upstate New York are thriving and capitalizing on busy summer travel patterns. We have a long runway ahead for our domestic licensed business, with 36 licensed Shacks across the U.S., including 18 airports, 11 stadiums, six Shacks in roadway, travel plazas and one museum. And based on the strength of this business and the continued optimism shared by our partners around the globe, we expect approximately 35 new licensed Shack openings this year. Our fourth priority is being even more profitable in our Shacks. Second quarter restaurant margin expanded 240 basis points year-over-year to 21%, marking the first quarter since 2019, where a restaurant margin grew back above 20%. It's a testament to our continued progress on our key initiatives as we achieved 21% despite high single-digit food and paper inflation in the quarter. Finally, the fifth pillar of our plan as we build an enduring business, we are committed to investing with discipline. We're deploying capital towards strong returns in four main areas. We're building Shacks, updating our current Shacks, investing in our digital infrastructure and structuring our home office capabilities to support our restaurants. Starting with development, we're excited about all the work the team has done to improve our build costs over time. However, unlike the high velocity of our restaurant operations, moving the needle here will take time, given long lead times of design and buildout. But we have opportunity and a plan in place. We are optimistic it'll show strong results with future classes. We expect 2023 to be the high watermark for build costs, with the class currently tracking about 10% up year-over-year. Unfortunately, we've had a few very challenging projects that drove the majority of the overruns, while also building the highest mix of drive-throughs so far, and still working through elevated build costs and delays across the system. All this together had a heavy impact on our class. However, looking ahead, we are already seeing evidence that we have the right strategies in place to lower this cost materially next year and even further in the coming years as new prototypes come into design. Our commitment is to target lowering build costs next year by about 10% for the overall class. As we take down build costs and improve Shack level operating profit, we expect to continue to improve overall Shack returns well into the future. We've got the right plan in place and we're pleased to see progress taking root as we continue the evolution of Shake Shack. We remain one of the fastest-growing publicly-traded restaurant companies and we're growing profitably while strengthening our brand and our opportunity ahead. I'll now hand it off to Katie to share more about the details of the quarter and expectations for the rest of the year.
Katie Fogertey: Good morning, everyone. We are pleased with the results of our second quarter and our continued execution against our 2023 strategic plan. We expanded our restaurant margins by 240 basis points year-over-year to 21%, a function of us producing the highest restaurant operating profitability flow-through on sales growth since 2015 the year that Shake Shack went public. With this improvement and discipline on other expense lines, we generated a record high $37 million of adjusted EBITDA, 13.6% of total revenue marking 370 basis points of adjusted EBITDA margin expansion year-over-year. Before diving into our financials though I wanted to take some time to share progress in the quarter that contributed to our strong restaurant margin outperformance. To start, despite our continued elevated inflationary pressures, we have preserved a good portion of our profitability by taking a strategic approach to pricing and widening the price differential across our markets to match regional and guest dynamics. But pricing alone did not bring us to today's strong results. As part of our work on our 2023 strategic plan, over the past few quarters, we've identified and executed against opportunities for operational improvements that contributed to the significant portion of our year-over-year margin expansion this quarter. Many of these are still early days in the making and we are building on them as we progress throughout the year. So first, we are working closely with our operators on execution improvement plans across our Shacks. Major call-outs here are better alignment on new standards and demand generated labor schedules, further increasing operating hours, driving waste reduction, T&E discipline and other initiatives. We are leveraging fresh weekly sales forecasts in our Shacks to schedule labor incorporating macro and micro drivers. This is helping us be more nimble in our expense management when sales tides turn or even just modestly shift at the Shack level in either direction. Second, our Kiosk retrofit plan is already showing substantial impact and we see a long runway for future improvements that can enhance what Kiosk can offer in terms of driving sales and labor efficiencies. We ended the quarter with nearly 250 Shacks of Kiosks and grew our Kiosks sales by more than 100% year-over-year. We are seeing at least a high single-digit percent lift in average order values in Kiosk versus in Shack. This is driven by higher IPC and mix. as Kiosk orders tend to skew to dine in, we are also able to use less packaging than in our digital orders. but labor savings aside, this makes Kiosk our most profitable channel. Kiosk is also a channel, where we can get more guest data to learn and improve our marketing efforts over time, and our Shacks with Kiosks are able to operate with fewer labor hours. We look to build on this incremental sales lift and early in labor as we drive deeper kiosk adoption, advance our Kiosk capabilities and capitalize from added efficiencies in the Shack. Additionally, we've also streamlined our packaging, condiments and utensils standards for to-go orders. And our teams have been rebuilding our training programs for both new openings and existing Shacks with the help of our Head of Operations Training Support. This includes how we hire for a new Shack opening and how and where we train, as well as simplifying our training program to allow our team members greater flexibility as to what stations they can work during their shifts. Early indications are that these initiatives will have a positive impact on our throughput and reduce our average preopening expense. Finally, we're also working with our operators to enhance the auditing and reporting in our Shacks to more quickly address over and understaffing situations, as well as making sure that we have the appropriate number of managers to support our Shacks and our growth. We are still early days in this journey, but we are confident that this will help us better control our hourly labor expense and provide a more consistent guest experience. We are reassured by our results and we look forward to showing continued progress through the rest of the year on these and other initiatives that we have in flight in order to improve on our profitability and deliver great guest experiences. onto the second quarter results, total revenue was $271.8 million, up 17.8% year-over-year. Shack sales grew 17.4% to $261.8 million. Licensing revenue grew 29.8% to $10 million. System-wide sales reached a record high at $426.3 million, up 21.2% year-over-year. We maintained discipline on expenses integral to our 2023 strategic plan. We grew adjusted EBITDA by 61.9% year-over-year to $37.1 million, reaching 13.6% of total revenue. We grew in-Shack traffic by 4.7% in the quarter and we generated a positive 10.7 same-Shack sales in our in-Shack channel as more guests are migrating to their in-person habits and our wider scale kiosk rollout is having a positive impact on our mix and IPC trends in that channel. in-Shack and Kiosk in particular are our most profitable channels and we continue to focus our efforts on shifting our sales here as we execute against our plan to show sustained improvement in our overall restaurant margin. Our strong in-Shack performance was offset by softer digital performance. Delivery traffic was down more than overall traffic representing the continued positive trend towards our guests returning to our Shacks. Also, from time to time, as we deepen our footprint in open Shacks close to others, we may see near-term traffic offsets as those neighborhoods and shared delivery radiuses take time to shake out. And this was the case in the second quarter as we saw some sales impact that was heavily weighted on delivery in markets such as California and a handful of Shacks on the East Coast that we had planned for as we build critical mass in these key markets. this blended to an overall positive 3.0% same-Shack sales and negative 1.3% traffic versus prior year. We realized high single-digit price in the quarter. We rolled off the comp benefit from the March 2022, 3.5% total menu price increase and an additional 5% premium in our delivery channels. And we're only raising price by 2% in select locations at the back half of the second quarter. Our 2Q same-Shack sales were pressured by approximately 100 basis points of mix as we sold out of our premium white Truffle LTO ahead of schedule due to high and unexpected guest demand. It's hard to know the full traffic impact that this had on the quarter though. In addition, we continue to see guests shift back to in-Shack. And this had smaller group sizes than our digital channels, but we also saw smaller group sizes across all of our channels as people returned to more normalized patterns, especially in our urban areas. July's same-Shack sales rose 4.5%, an improvement from June driven by improving mix. July AWS was 77,000 and that was 3% higher year-over-year. we generated record high Kiosk average weekly sales and continued to grow in-Shack traffic. Our urban markets such as Washington D.C., Boston and New York City performed well. We had a positive impact from high single-digit price. Our licensed partners opened 13 new Shacks in the quarter, growing our total licensed Shack count to 201. Together, we grew sales by 27.9% year-over-year to $164.5 million with a modest headwind from FX. We grew sales in our domestic license business by more than 50% year-over-year, led by our airports and roadway locations. we had robust performance in China. We opened strong in Thailand and that was our first new country open in three years. In June, we opened our first licensed drive through Shack in Dubai. onto our restaurant profitability in the second quarter, Shack level operating profit was $54.9 million, or a 21% of Shack sales marking 240 basis points of expansion versus last year despite continued inflationary pressures across our four-wall P&L. food and paper costs were $75.8 million or a 29% of Shack sales down 100 basis points versus last year and 40 basis points versus the prior quarter. We benefited from improved waste trends in our Shacks and reduced packaging, small wares and condiment usage in our off-premise orders. Blended food and paper inflation rose high single digits year-over-year. Beef was up high single digits, as well as continued inflationary pressures in custard and buns, and an over 20% year-over-year increase in our fry costs. Importantly, our supply chain team has identified areas for cost efficiencies to help address persistent inflationary pressures, which we anticipate to start having an impact later this year with continued plans for focused improvement into 2024. Labor and related expenses were $75.2 million, or a 28.7% of Shack sales, down 80 basis points versus last year and down 170 basis points quarter-over-quarter. This quarter, we increased our focus on training to improve turnover and seek efficiencies across our operations, as well as introduce several new strategies to better control our labor expenses within the Shacks. Our second quarter has typically marked our strongest sales and profitability of the year, and requires more staffing than other quarters to support the higher demand. However, with our profitably enhancement strategies including dynamic sales and labor budgeting, working closely with our operators to drive more standardized labor scheduling practices, as well as early learnings on kiosk labor utilization and evolutions in training. we've been able to streamline hourly labor in our Shacks both quarter-over-quarter and year-over-year. Altogether, this is translated to us using 50 fewer hours per Shack per week in the quarter versus last year, resulting in 100 basis points of margin tailwind versus 2022. As is typical for our growing business, our labor expense was impacted by supporting some recent NSOs. However, our profitability trends in our NSOs improved throughout the quarter, and we have plans in place and operations and development to further reduce the expense we incur from new opening schedules on our overall restaurant profitability line. Other operating expenses were $36.1 million, or a 13.8% of Shack sales, down 60 basis points from the second quarter of 2022. We’re focused on investing in scaled marketing in the quarter, where we see broad-based impacts and benefited from lower delivery sales as guests returned to their in-Shack dining. Our facilities team has been actively replacing older equipment to reduce R&M expense and while this expense impacts our CapEx, these investments have helped us reduce our R&M by an average of $100 per store week year-over-year. Occupancy and related expenses were $19.8 million, or a 7.6% of Shack sales flat sequentially and up 10 basis points from last year's level. We ended the quarter with 471 Shacks system-wide, 43% of which are operated by our licensed partners and 57% of which are company operated. In the quarter, G&A was $31.5 million excluding $1.7 million in professional fees related to a one-time matter. adjusted G&A was $29.8 million, or 11% of total revenue, 150 basis points favorable to last year. Our 2Q adjusted G&A expense rose 3.6% year-over-year versus total revenue that grew 17.8% year-over-year. We made key investments in technology, marketing, operations and our licensed business as we execute against strategies to grow our sales and profitability and support new Shack openings in our company operated and licensed business. We're making continued invest around our digital marketing efforts, leveraging personalized marketing to our guests, investing in guest data and analytics, and our Kiosks and other various marketing strategies to drive greater sales and brand awareness. We're also investing in technology and data broadly across the company automating labor scheduling and compliance, as well as making improvements in our supply chain, among other initiatives, which we believe are critical to our long-term success, our ability to support our growth and to realize continued efficiencies over time. In operations and development, we've made investments in our teams to support new openings, as well as test and learn strategies and tools, which we believe have the potential to improve throughput and take costs out of our Shacks over the long term. In our international license business, we have announced five new country openings in the past few years, including Israel and Canada that our teams are busy supporting. We have also had a strong pipeline of potential new countries, as well as deeper expansion opportunities within current markets, leveraging a growing number of formats. But taken overall, the investments we made in the second quarter were partially offset by efficiencies in other departments as we continue to invest with discipline, and G&A and target delivering leverage this year. preopening costs were $5.6 million in the quarter with our more even weighted development schedule versus last year. At the end of the third quarter, we expect to have opened 27 units compared to 14 in the prior year. We have plans in place around development, training and operations as we target lowering our preopening expenses by about 10% per Shack in 2024 versus this year's level. In the quarter, depreciation was $22.3 million, up 23% year-over-year as we continue to invest in new Shacks. we realized net income attributable to Shake Shack Inc. of $6.9 million or $0.16 per diluted share. We reported an adjusted pro forma net income of $7.9 million or $0.18 per fully exchanged and diluted share. This was the highest level of earnings per share that we have had reported in more than three years. Our adjusted pro forma tax rate, excluding the tax impact of equity-based compensation was 15.6%. Finally, our balance sheet remains solid with $295.2 million in cash and cash equivalents, and marketable securities at the end of the quarter. This was an increase from $293.4 million in the prior quarter. We invested $40.4 million in CapEx in the quarter, up 48% year-over-year. We have opened 21 Shacks to date and are on track for twice the number of openings by the end of the third quarter versus last year. This more even weighted opening schedule is a primary driver behind the growth in our CapEx spending year-over-year. And as Randy noted, while it is hard to predict with full precision, we expect that this will be the peak of pressures on our build costs and we are starting to see traction from our efforts to lower our build costs into 2024 and beyond. In addition, we've incurred expenses related to the more than 30 kiosk retrofits in this quarter and have about 15 left to go, which we expect will be completed by the end of the third quarter. We also incurred elevated maintenance CapEx as our teams made the necessary replacements to lower R&M and our Shacks, and ensure a more consistent guest experience. Now, onto guidance, which balances the strong underlying business factors that we've seen in the first half of the year with a degree of uncertainty around the consumer spending outlook and inflationary headwinds. this range does not reflect any additional unknown delays to our development schedule or any changes to the macro landscape beyond what we are experiencing today. For the third quarter, we guide total revenue of $273.5 million to $278 million. With $10.5 million to $11 million of licensing revenue, 10 to 12 company-operated openings, 11 to 13 licensed Shack openings and for same Shack sales to grow by low-to-mid single digits year-over-year with that high end, very consistent with the 4.5% same-Shack sales that we generated in July. Third quarter price will be up high single digits year-over-year. We expect to see mixed headwinds until we launch our hot chicken and burger LTO at the end of the quarter. And as a reminder, historically we've seen AWS sequentially declined into August following peak summer travel and then again, in September around back to school. We are guiding 3Q 2023 restaurant margins to be approximately 20% as we are factoring in continued execution of our margin driving initiatives balanced with uncertainty around inflationary outlook for beef. our guidance reflects beef rising by low double digits year-over-year. However, if prices were to rise by more than this level all else equal, given we do not hedge on this important line item, we would expect to fall below our approximately 20% restaurant margin guidance for the third quarter. We expect food and paper inflation for the third quarter to be up mid-single digits year-over-year. And we expect labor inflation to be in the mid-single-digit range year-over-year. Based on the strength that we've seen in the second quarter and our optimistic outlook for the third quarter, we're adjusting our revenue guidance and increasing our profitability targets for the full year 2023. So, for full-year 2023, our guidance calls for total revenue of $1.07 billion to $1.08 billion growing 18% to 21% year-over-year. Same-Shack sales to grow by low-to-mid single digits with mid-to-high single digits price. we are rolling off the high single-digit price we took in October 2022. We expect to end of the year running at just a low single-digit price, which is in line with our more normal pricing patterns. And this will be a pressure to our same-Shack sales in the fourth quarter. We expect licensing revenue to reach $40 million to $41 million. While we're starting to see some signs of food cost declining and inflationary pressures decelerating, most of our basket cost remains elevated and beef inflationary pressures remain highly uncertain until the end of the year. But despite ongoing headwinds, we guide full-year 2023 restaurant margins to reach 19.25% to 20%. This represents approximately 200 basis points to 270 basis points of restaurant margin expansion in this year. While we are not providing specific fourth quarter guidance at this time, we expect to see typical seasonality in both our sales and profitability from the third to the fourth quarter. As a reminder, prior to COVID, fourth quarter restaurant margins seasonally are lower than the third quarter levels, and that's largely driven by lower sales. While this year, we expect to outperform that historical pre-COVID margin seasonality, given the strong success we were seeing on our strategic priorities, beef inflationary risks are real and present a headwind to our profitability through the rest of the year. We expect this in addition to rolling off that significant October '22 price increase and ending the year with just about 2% price against the broad inflationary pressures we're seeing to impact our fourth quarter flow-through overall. However, all else equal, if beef inflation was consistent with last year's performance and consumer spending patterns remain strong, we see a path for our restaurant margin to exceed 20% for the full year. We expect to open approximately 75 Shack system-wide this year, about 40 of them will be domestic company operated, and approximately, 35 will be operated by our licensed partners. We guide 2023 G&A of $125 million to $130 million. Absent the 3.3 in legal and professional fees that are excluded from adjusted EBITDA in the first and second quarters. at the midpoint, G&A will be 11.9% of total revenue, approximately 75 basis points of leverage versus 2022 levels. Some other guidance points. equity-based compensation expense of approximately $17 million. Preopening of $17 million to $19 million, depreciation of $88 million to $93 million and adjusted pro forma tax rate, excluding the impact of equity-based compensation to be 16% to 18%. altogether, based on our performance so far this year, we are raising our fiscal 2023 adjusted EBITDA to $120 million to $130 million, representing approximately 65% to 80% growth year-over-year. And thank you, with that, turning back to Randy.
Randy Garutti: Thanks so much, Katie. We're really proud of the team and the way they continue to execute our strategic plan, driving sales and better profitability across our shacks. Today, I want to end with a note of special thanks. As you may have seen early this morning through form 8-K, we announced that our long-time COO, Zach Koff will be leaving the company after more than 13 years. Zach joined Shake Shack when we opened our fourth Shack ever in Miami Beach, and he's been a key fixture in all we've done to build this special brand and culture. His heart, soul and leadership sits at the foundation of Shake Shack, and so much of what we've accomplished as a team has been thanks to his contributions. Zach will be greatly missed. but we're excited for him in his next chapter and for Shake Shack as we look ahead to adding new leadership. Zach will be transitioning out of the company September 7th and we will begin an executive search for his replacement. In the meantime, Zach has built an exceptional team, and along with our executive team, we will continue the operational excellence and improvements we shared earlier in this call to ensure progress moving forward. And with that, operator, please open up the call for questions.
Operator: Thank you. [Operator Instructions] Our first question is from Brian Mullan with Piper Sandler. Please proceed.
Brian Mullan: Hey. Thank you. Just a question on top of the bill costs, they're going to be down 10% next year. That's encouraging to see. Could you perhaps separate that between the drive-through format and the more traditional formats? we've known you're looking to get the cost of the drive-through down. Just are you making progress across the other formats as well? And then just kind of related that holding inflation constant. Do you think you could get that down even further in 2025 if given more time and with more focus on the issue?
Randy Garutti: Yes. Thanks, Brian. I appreciate the question. I think broadly, the answer is yes on all fronts. Our commitment next year is both in drive-through costs and overall. But in our core formats, we're working towards new formats, more standardized, more templated, really optimizing the right size and doing so much to continue to bring that down over time. Teams doing great work on this. It takes time. Right. You've got shacks that are already designed and in place. Some of those will be more expensive drive-throughs. Some of those will be in more expensive places, like I named in New York, California. But overall, next year, we're targeting a $2.3 million average roughly and we're going to hold to that. as we look at years forward, depending on the mix of Shacks we believe and we are targeting lots of improvements in how we build our restaurants the way we do it, but still doing it in the Shake Shack way. So, we believe this is a great opportunity for us long-term, and we're committed to having this be an important fixture of our strategic plan in this coming year.
Brian Mullan: Okay. thanks a lot. Just as a follow-up, I think a part of the recent cooperation agreement that the companies agree to work with some outside consultants to work at ways to be more efficient. My question is, just given all the various strategic efforts that are already underway internally and yielding progress. do you expect any consulting agreement would yield even more efficiencies above and beyond, and have you kind of entered into an agreement yet?
Randy Garutti: Thanks, Brian. Yes. first of all, I think the team right now has been and you've seen this in the results of the quarter and in our guide forward, really focused on improving so many things in the company. And that's taking root, as you can see. We will be and we're working with the working group of our board in concert with talking to consultants and thinking about what that scope might look like. And we're continuing to define that and we'll certainly let you know, but we believe that's going to be another exciting opportunity for us to dive deeper into some of the things we're already doing and identify some other things. So yes, we're looking forward to that. That's going to take time and we'll keep you posted as it goes.
Operator: Our next question is from Michael Tamas with Oppenheimer & Company. Please proceed.
Michael Tamas: Thanks. Good morning.
Randy Garutti: It sounds like you're just getting started on some of the opportunities to expand your restaurant margins above the 20% you're targeting this year. But as your pricing normalizes and hopefully inflation does as well, do you think you have the levers to pull on a core basis to expand margins above the 20% range or do you think you need menu pricing to sort of outpace inflation to do that?
Katie Fogertey: Right. Yes. So, we talked about on the call today, the 240 basis points of margin improvement that we showed year-over-year. The bulk majority of that is coming from our operational improvement plan. And some of these we factored into our guidance; others, we're learning more as time goes along. But we’re really encouraged by what we’re seeing. We’re not going to give long-term guidance at this point. So, nothing beyond what we've given for the full-year target of 19.25% to 20%. But these are kind of really improving the foundation of Shake Shack and helping us to become a more profitable company over the long term.
Operator: Our next question is from Brian Harper with Morgan Stanley. Please proceed.
Brian Harper: Yes. Thanks. Good morning. I was curious if you could just provide more detail on some of the mix impacts, because I realized that kind of delivery is coming off. You talked about that piece. But are you seeing pretty good attach of some of your new menu items? How much more do you think can kind of come from Kiosks over time if we separate out some of the different mix drivers that you're seeing?
Katie Fogertey: Sure. So really, one of the most important mixed headwinds that we had in the quarter was the fact that we sold out of our highly successful white Truffle LTO early. We think that was about 100 basis points of just mix alone in the quarter. Hard to tell what that traffic impact was, but we know that our most successful are great LTOs. They are traffic and frequency drivers as well. within each of our channels, what we're seeing overall is pretty consistent. We're seeing better mixed trends within our in-shack channel though just as we're driving deeper Kiosk adoption. you're getting that natural uplift on that side. but across the board, we do have higher attach rates of items per protein year-over-year and we're pretty encouraged by what we're seeing there. Now overall, what you're seeing at the company level though is that channel shift mix of more people coming in-Shack. Those tend to be less people per order, especially in our urban markets. And that's that natural shift that we've been seeing since pretty much last year into now.
Operator: Our next question is from Peter Saleh with BTIG. Please proceed.
Peter Saleh: Yes. great and good morning. Katie, I wanted to ask on the Kiosk, I think you mentioned a high single-digit Shack lift. Can you elaborate a little bit on that? Are you seeing that just more customization add-ons or is it -- are you seeing more group sizes? Just trying to understand what's driving that high single-digit lift.
Katie Fogertey: Great. Yes. So, it's really exciting. What we're pretty consistently seeing in our Shacks as we're accelerating our Kiosk retrofit program here is that once we kind of shift that cash from the cashier into the Kiosk channel, they tend to -- we have a high single digit at least checklist right there. And what that's coming from is really, I think, people being able to sit with the visual merchandising of our product, we see a higher instance of LTO sales on that. And I think that when you get to see the very exciting items that we're promoting up there, guests are interested in that. I think it comes across a little bit differently on the Kiosk channel than on our traditional menu boards. You're also seeing greater instances of sales of our premium cold beverage as well and shakes, which has obviously very nice margin on that side. So that's most of what we're seeing. But what's really exciting also is that we're still in the very early days here. There's a lot of opportunity for us to invest some money around driving more upsell in the Kiosk channel. Our priority today is driving just that greater adoption of it. But you're going to know, you'll expect to see from us continued strategies to drive more upsell in that channel.
Operator: Our next question is from Andrew Charles with TD Cowen. Please proceed.
Andrew Charles: Great. Thanks. Two questions from me. First, I know beef obviously remains pretty volatile. but 2Q beef inflation high single digits was more favorable than your low double-digit forecast. I know you don't contract beef, but is there any mitigation strategy that contributed to that or was that strictly more favorable spot rates? And then just kind of the question on the 3Q guidance. Appreciate the disclosure for July, up 4.5%. If I look at the guidance for low-to-mid single digits, is there a reason to believe same-store sales would decrease from July such as harder comparisons in August and September? Or would you just label the guidance to be conservative?
Katie Fogertey: Great. So, let's take beef first. So, as we progressed throughout the quarter on beef, it was a little bit more favorable. I mean, we're talking about high single digits versus low double digits kind of very much on the cusp there. And we really started to see beef, though, pick up more in July. So that is something that we are watching very closely and we've reflected that view into what we're seeing today into our guidance. And then on the comp, we're running a 4.5% in July. We ran a 4.5% in July. Think about the mid single digits range as being kind of around that 4.5% to 5% range. And how we typically progress throughout the quarter on AWS is. August is a little bit lower than July. And then we do see a more significant drop-off in September. It'll be interesting to see how this year's September behaves. Last year, we had a more muted decline in September versus August. But in pre-COVID times, that was a little bit more pronounced.
Operator: Our next question is from Jake Bartlett with Truist Securities. Please proceed.
Jake Bartlett: Great. Thanks for taking the question. My first one is on the consumer. In the past, you've made some comments about whether there's any specific movements in lower income or higher income. Any comments you can say in what you're seeing from just underlying strength of demand?
Randy Garutti: Yes. Jake, I think you've seen this kind of broadly in our industry and a lot of industries. generally, I think we're all surprised at how resilient the consumer has been. at Shake Shack, I think what we've said in the past has stood true in this last quarter, which is we generally benefit from a higher-end consumer. You're seeing that also in the strength of some of our LTOs. People being willing to spend a little bit more. but we're not immune to the lower consumer trading down, and you'll probably see some of that in our numbers in this quarter and moving forward. Right. There's going to be more battles on discounting and your kind of traditional fast food that we're going to compete against from time to time. And that's going to be a pressure, I think, during this uncertain time. And we expect that and that's built into the guide as we go. It's built into how we're thinking about things. But I think in general, the consumer has been pretty resilient. So, we're happy with that and we're looking ahead to continue to build on the strategies we've employed so far that you heard a lot about today.
Operator: Our next question is from Brian Vaccaro with Raymond James. Please proceed.
Brian Vaccaro: Hi. thanks and good morning. I just wanted to ask about the labor improvements and Katie, I think you said wage inflation up in the mid single digits, if I heard correctly, and you saw cost per week, at least on our math down year-on-year. So, could you just provide a little more color on the benefits you're seeing from Kiosks and also the dynamic labor scheduling? Just more perspective on that, I'm curious if the hours of where is that during the day, during the week, is it clustered in a certain set of stores that were significantly underperforming? Just any incremental clarity there would be helpful.
Katie Fogertey: Yes, absolutely. So, just a kind of reminder of what we're doing on that side. So first of all, working with our operators very closely, and digging in and building bespoke labor schedules for the shacks that are kind of the most pressured. and that has been a really helpful way of managing kind of our lower performing shack base and working with them to help make those more profitable. On the dynamic labor scheduling side, this is an important point. We switched to a more demand based, more real-time what we're seeing on the ground forecast that's leveraging both micro and macro variables across all of our shacks in the quarter. And this is a really hard one to measure the full benefit. But what I will say is that if sales tights turn in either direction, you're able to be much more nimble and react much quicker to changes in consumer behavior, where we can staff up and staff down to reflect that change instead of being a little bit more lagged and delayed. We're also working closely to audit labor schedules as well and just make sure that we're adhering to our standards, which has really helped kind of reduce that overall. and then Kiosk overall with the 250 shacks that we have in place right now and continuing to drive Kiosk adoption. we're starting to see some early signs of labor savings on that and that's been helpful, and we're going to continue to leverage that over time. The number that we gave in my prepared remarks is that we're running 50 fewer hours this year versus last year. So, a pretty good clip of savings on that side and that's helping to offset some of the other pressures that we're facing in labor. And that plus our higher price contributed to the delivery that we produced in the quarter.
Operator: Our next question is from David Tarantino with Baird. Please proceed.
David Tarantino: Hi, good morning. My question is more about kind of the strategy with respect to kind of optimizing the model to lower costs and shift the behavior towards Kiosks. And my question is really related to how are you measuring the guest experience as you go through this transition? It seems like you're making a lot of progress early on the cost side. But I guess what are you doing to make sure that you're not changing the guest experience in a way that you don't want longer term?
Randy Garutti: David, I love that question. I'm so thankful you asked it. Because that's at the core of everything that we think about, right. And as we think about improving the operating model, we need to do that through ways that only increase and improve the guest experience. That's a part of our strategic plan. you heard me talk about it earlier. and it'll be a part of our strategic plan next year and evolved in new ways. So, a couple of things. What we're learning is as we do these digital tools like kiosk or app or whatever we need to build them, so guests prefer it and that they really enjoy those experiences. What we're seeing in our guest scores that we track a lot and get more and more data from is that they're improving. They're improving through the time that we are improving as operational execution. I know that part of what we need to do better as well is just consistency, standardization, so that guests can count on what they need to count on for Shake Shack day after day. you can know when your food's going to come out. You can know that it's going to be ready and you can count on it being exactly the same. Standardization and us doing that better is going to lead to better guest experience. We know that we're doing that. But in the Shacks as well, we're actually ramping up efforts of the things that we do. For instance, in most shacks now, when you come in and you used to have kind of that stress of waiting for your buzzer or waiting for us to text you now, in most shacks, most of the time, we're going to run your food to you. We're adding that added level of service. We've been doing that for about a year now. That's all part of the shift in the way we can optimize our labor instead of taking an order, where guests would prefer to do it themselves and our Kiosks benefit in all the ways you heard. we can spend that time and effort and put our hospitality towards a different part of the experience. And we found that people are really enjoying that. That has been just a destresser and an added experience. And as we think about cutting costs and bringing things down, we got to do it in ways, as I said, that improve. So, if we're going to have a smaller dining room, it's still got to be a great dining room, that has the right amount of seats and all the things that we're doing are going to add to that. So, thank you for that question. You can assure and our shareholders can be assured that we will not do anything but work to improve the guest experience as we talk about also improving the economic model.
Operator: Our next question is from Jeffrey Bernstein with Barclays. Please proceed.
Jeffrey Bernstein: Great. Thank you. One clarification and then a question. Just the clarification, the acceleration you saw in July from a comp perspective. I'm just wondering if there's anything you specifically attribute that to any new drivers or perhaps changing consumer behavior to drive that improvement. Otherwise, my particular perspective just on G&A --
Randy Garutti: Go ahead, go ahead.
Jeffrey Bernstein: yes. Katie mentioned the 75 basis points of leverage in '23, which is obviously impressive. I'm just wondering what the biggest buckets of savings are, whether you think there's more opportunity for leverage in '24 and beyond. Maybe, it's who you benchmark yourself against. Just trying to figure out how you define what the right ultimate level is. Thank you.
Randy Garutti: Yes. thanks. On the trends, we're really encouraged by quarter-to-date seeing some of the strong that we've seen all year a few things. as we talked about, we had return of a strong LTO with Bourbon Bacon. We had some of the other menu things happening that are really good. I think we're just continuing to see some of that trend that benefits Shake Shack. Some of the things that we were most hit on, whether it's urban or the offices, tourism, travel, the kind of way people move. those things continue to improve in general, mobility for us. We are seeing some hits in the mid distance consumer that are different from last year. but generally, those trends continue to benefit us and it's just been good. It's just been a really good momentum through July. so, we're encouraged by that and really, it's been strengthening since mid-June. So that's good. We'll see where it goes. We've got tougher compares as we go through the year, but we feel good about that. on G&A, look, we need to keep investing, where we need to invest. We're happy that as Katie shared, we're tracking towards leverage this year and we can look at some of that next year as well, but we're not going to fully guide there just yet. We've got to make sure we're making the investments, but we're leading this company with the right amount of people and efforts, and making sure that we can continue to drive all the initiatives that make sense from a return perspective. As I said, we are very much a growth company, leading with percentage sales increases that you don't see in a whole lot of places in the public company restaurant space. And we have to continue to invest to ensure that that continues, but we're going to do it profitably overall.
Operator: Our next question is from Andy Barish with Jefferies. Please proceed.
Andy Barish: Hey, guys. just hadn't heard about some of the sales impact, I think you mentioned on the coast in regard to maybe some delivery sales. Could you tease that out for us just how much and how long do you think that will last? And is that restaurants as well as consumer behavior or mostly, your development that's impacting some of that sales layer?
Randy Garutti: Thanks. Yes, I think, it’s near-term and you start to lap some of those. there's going to be always and there has been since the day we created this company at every restaurant. you're going to see from time to time, you're going to see impact when you open a restaurant close to another. And I think we've got a couple of handfuls of restaurants that are in that category. Some in LA, where we opened five new shacks on top of other restaurants. Our whole goal is market share overall and building a strong market, and we have a long runway to do so and we're confident in that. But from time to time in the world, we live in today, you may eat up a section of a delivery radius, for instance and just start to share that portion of delivery sales. That may happen, but we do think we roll off some of those. But let's go back to the important strategy of development. We've got a long runway ahead and part of our strategy is to cluster our shacks a little bit closer together. We know and you're seeing that in our profitability measures that we're continuing to improve. So, we know that from time to time, when you do that, you might impact sales at another restaurant. but you're also going to impact our ability to open better, faster, have stronger profitability sooner and over the long run. So, we feel really good about all those decisions and we'll also keep taking that learning and making sure our development schedule is taking that in and spreading out our shacks as best that makes sense and still building lots of restaurants. I think that thing that I think needs to be said that even we remain surprised by from time to time is Shake Shack has this giant brand that punches so far above its weight. But in reality, there are many places in this country, where our brand awareness still needs to grow, where we're actually still coming up. We're not the incumbent. and that takes time and I think our history has shown that we do that really well over time. But it does take time and we're confident we'll keep doing that, and you'll see us committing more and more to marketing and funding brand awareness. so that we can continue to grow our overall base of guests.
Operator: Our next question is from John Ivankoe with JPMorgan. Please proceed.
John Ivankoe: Hi. thank you. Hope everyone is well. I know we've talked about previously and I was just trying to get to capitalized cost per new unit. I know it's not a fair calculation and I know you'll correct me for the reasons why. but in fiscal '23, just taking your CapEx divided by a number of units, it was around $4 million. in first half of '24 -- that was in '22; in first half of '23, we're actually running a little bit ahead of $4 million. Now, I do understand it does sound like you're doing some projects to convert R&M into CapEx and obviously, kiosk costs some money, but it actually is running ahead of $4 million in the first half of '23. So, as we think about that '24 number and just try to get it as clean as possible. I mean, what do you think the capitalized cost per new unit is going to be in '24? I know you said 10% less, but 10% less of what?
Randy Garutti: Well, John, I think overall, feel free to jump in here, Katie. I think we're not guiding to '24 today. What we're guiding to is continue to bring down those costs. You have to remember in your numbers that you are quoting, you're not giving credit to the significant digital investments, tech investments, the many other CapEx investments that happen around this company that are not about the individual unit. Those are things that have to happen as you grow a restaurant company, especially at our still small scale. So, some of those may be outsized in total dollars today. But where are we at in committing to this? We're committing to taking down that overall cost to build, and improving the numbers you just said in '24 and beyond. I expect we will, maybe by your measure, certainly by the measures that we share. And that's our goal to improve our overall return on capital for our individual restaurants and our company overall. And I think let's just take a beat. because I don't think we've talked about this yet on this call really, take a look at the adjusted EBITDA growth of this company year-over-year. It is significant. It is materially game changing in the percentage growth of adjusted EBITDA over this year and we expect to continue to generate significant adjusted EBITDA next year and a lot of cash. So, I think it's going to be a good year for all the metrics you're asking about. And those things take time. As I said, you've got a lot of restaurants designed and in flight. You can't change those things mid-flight. But we're putting all the things in place that will improve that next year, and in the years to come.
Operator: Our next question is from Jim Sanderson with North Coast Research. Please proceed.
Jim Sanderson: Hey. thanks for the question and congratulations on the improvement in store level margin. Wanted to dig into the detail on the labor hours per week. Is that only for stores that had the kiosk, or is that a system-wide number that you cited?
Katie Fogertey: Hi. Yes. No. that's system-wide. And it's not just Kiosks that's driving that. It is a blend of higher retention. It's more of what we're doing on the scheduling side. Kiosk is certainly a little bit of a help, but we're definitely learning more and more as to what kiosk can bring us in terms of labor savings as we drive deeper kiosk adoption across our shack base.
Operator: Our next question is from Jeff Farmer with Gordon Haskett. Please proceed.
Jeff Farmer: Great. Good morning and thank you. I have a follow-up and a question. So, just following up on Michael's earlier question, which was one of the first on the earnings call, you guys made some huge strides, or have made some huge strides driving improved restaurant level margins. Long list of initiatives have helped you do that. But as we look out into 2024, do you see additional opportunities to drive further improvement?
Randy Garutti: We're not gotten there just yet. We're always looking for further improvement. Let's celebrate for a moment that being up 240 basis points from last year and looking ahead at our guide, being significantly up from the guide for the quarter for next year from last year. So, we'll start there. We're continually committed if you hear our comments on strategic plan towards improving our restaurants overall profitability cost to build and the metrics that we use. So, we'll keep you posted on what '24 looks like as we get closer to that year.
Operator: Our final question is from Brian Vaccaro with Raymond James. Please proceed.
Brian Vaccaro: Yes. thank you. Just one last big picture question. and I guess, it's tied to the mix a little bit as well. But I guess as you've expanded into new markets and you're reaching a different consumer in the suburbs, Randy, maybe some that are a little older, different stage of life, more modest income levels, what have you. I'm just curious what you've learned about the brand and any differences you've noticed in customer perceptions around value, quality, anything along those lines, and just how you're sort of adjusting or planned to adjust your strategy, your go-forward brand proposition et cetera, as you adapt to some of those differences.
Randy Garutti: Yes. that's great. We think about that a lot. Big picture long-term. And it goes back to a little bit what I said earlier. When we have strong brand awareness in the very many markets, where we do. we generally tend to capture all types all the time, strong AUVs, strong shacks, right. where we enter with lesser brand awareness and consideration, we've got more work to do and those take time. Our evidence for us has shown that over time, we continue to build that and build that and build that, and it's really strong, but we're not immune to opening in a place, where people don't really know us. So, what do we do with that? A couple of things. We've gotten better and better in our pricing. When you think about the geographic disparity of our pricing and our ability to take price in our more expensive, but also higher brand awareness markets, we generally tend to take more price there and we're generally more cautious in those lower brand awareness. So, we think having the right price, having the right opportunity is really important as we look across shacks. but we've also got to optimize other costs in the restaurants, right. And we've been able to do that on down the line and you're seeing that in the improvement. I think what's always amazing to me even almost 500 shacks into this journey is that even when we open in four shacks in Texas in the last two months all drive-throughs, it's amazing to me how many people come out, celebrate with us and really continue to start with a bang. And I think that says something for the continued probably stronger than ever brand we have. But you're hearing me acknowledge loud and clear that we've got to also build brand warehouse. The other thing we haven't done a lot of in the history of the company we've never really done traditional mass media advertising. We've done a lot of local Shake Shack style guerrilla marketing if you will. And in the coming years and you'll see this probably next year, we're going to commit to increasing our overall marketing spend. So that we can drive brand awareness and drive all kinds of guests in the places, where you talked about. But look broadly, when you can execute a 21% operating profit, there's few restaurant companies in this country that have ever done that and for us to do that at scale in this quarter, I think that's where we end. And I hope that's the note that people hear a lot going forward as we've grown sales, as we are materially growing this company. We are a profitable growth company and it's a really exciting time for us. So with that operator, I think we finished the questions. I just want to say thank you to everybody on the call and we look forward to being in touch. Thanks.
Operator: Thank you. This will conclude today's conference. You may disconnect your lines at this time and thank you for your participation.